Operator: Welcome to the second quarter 2008 Standard Parking earnings conference call. (Operator Instructions) I would now like to turn the presentation over to your host for today’s call, Marc Baumann, Chief Financial Officer for Standard Parking.
G. Marc Baumann: I’m Marc Baumann, Chief Financial Officer of Standard Parking and I’m your primary investor relations contact. Welcome to our conference call for the second quarter of 2008. I hope all of you have had a chance to review our earnings announcement, which was released after the market closed yesterday. We expect to file the 10Q for the second quarter tomorrow. We’ll begin our call today with a brief overview by Jim Wilhelm, our President and Chief Executive Officer and then I’ll discuss some of the financials in a little more detail. After that we’ll open the call up for any questions that you may have. During this call we’ll make some statements that will be considered forward-looking regarding the company’s strategy, operations and financial performance. Those statements are subject to many uncertainties in the company’s operations and business environment. I refer you to the complete forward-looking statement disclosure in our earnings release which is incorporated by reference for purposes of this call. I’d also like to refer you to disclosures made in the company’s quarterly and annual filings with the Securities and Exchange Commission. Finally, before we get started, I want to mention that this call is being broadcast live over the internet and can be accessed on our website, StandardParking.com and also with Earnings.com. There will be a replay available on either website for 30 days after the call. With that I’ll turn the call over to Jim.
James A. Wilhelm: Given the current economic environment I’m obviously very, very proud of what our team achieved this past quarter. We maintained and increased our level of both location and gross profit retention at 91% and 97% respectively. While we begin to feel some fallout from the decreased travel and higher gas and utility prices at some of our leased and reverse management contract locations, so far the economy’s effect on our business has been minimized because the vast majority of our contracts are fixed fee management agreements that we’ve described in the past call after call in terms of our base business model. We do believe current economic pressures are having an impact on some of our clients so we’re always reviewing staffing levels and operating expenses to ensure efficient operations and maximizing profits returned to our clients in this environment. We’re seeing more of our contracts go out for bid as real estate owners and property managers seek to maximize those returns and while on one hand this does expose more of our contracts to competitive bidding, on the other hand we see it as an opportunity for us to leverage our operating and revenue control expertise to win new business. And that’s been evidence by the new business wins that we’re continuing to have. During the second quarter we came to a final resolution on our claim for damages incurred from Hurricane Katrina. Marc and I talked with some detail about that last quarter why receiving a final settlement of $2 million. This benefit net of less favorable changes in insurance loss reserve estimate related to prior years and higher cost for post-retirement benefits versus a year ago contributed $0.03 to the increase in earnings per share. Our same location gross profit increased by 2% this year over last year’s second quarter, a solid performance in what is clearly a difficult operating environment for the reasons I mentioned earlier. We continue to add new business during the quarter. Among other wins in the second quarter, we began operating a large portfolio of 19 equity office property locations in Southern California. We were also awarded a multi-year lease for College Park Garage in Toronto. The College Park development covers an entire city block and includes residential, commercial, retail and office space. On the day we took over operations we installed new Pay-on-Foot equipment to fully automate the parking facility. The business continues to generate healthy free cash flow and generate a free cash flow of $11.3 million in the second quarter of 2008, an increase of $2.5 million over last year. Free cash flow was used to repurchase stock and repay debt. As we announced previously we have leveraged our strong relationship with our banking groups, allowing us to put in place an amended credit facility during the quarter that gives us $75 million of additional capacity as well as extends the maturity by two years. Getting this deal done in the current banking environment is a testament to the confidence our lenders have in our company and our business model. Given our results to date we reaffirm our 2008 guidance of earnings per share in the range of $0.95 to $1.05. Free cash flow is expected to remain in the range of $27 million to $30 million. With that I’ll return the call back to Marc so that he can lead you through a more detailed discussion of the quarter and first half financial performance and I’ll talk a little bit more about the business in this economic cycle when we come back to the Q&A section.
G. Marc Baumann: Let’s take a look now at our financial results for the quarter. Total revenue for the second quarter of 2008, excluding reimbursement of management contract expenses, increased by $11.9 million or 18% to $76.4 million from $64.5 million in the same period a year ago. The Katrina settlement contributed to 3% of the year-over-year growth. Gross profit for the second quarter of 08 increased by 12% to $23.5 million from $21.2 million a year ago. Again the Katrina settlement contributed to this growth and added about 8% of that year-over-year growth. As Jim mentioned, on the same location basis, gross profit increased 2% year-over-year. G&A expenses for the second quarter of 08 increased 11% to $12 million from $10.8 million in the second quarter of 2007. Increased spending for productivity enhancing IT initiatives and the annual stock grants to our board of directors of almost $250,000 plus some higher post-retirement benefit costs of $400,000 were partially offset by the $400,000 recovery of costs from the Katrina settlement. G&A as a percentage of gross profit declined slightly to 51.1% for this year’s second quarter as compared with 51.5% last year. Depreciation and amortization expense increased by $300,000 year-over-year largely due to the amortization of acquired contract rights from the businesses that we bought over the past year. Operating income grew 11% to $9.9 million from $8.9 million in the second quarter of last year. Operating income coupled with $500,000 decrease in net interest expense largely due to declining interest rates produced net income of $5.3 million in the second quarter, an increase of 21% over the second quarter of last year. Earnings per share increased $0.07 or 32% to $0.29 in the second quarter of 2008 from $0.22 in the second quarter of last year. In terms of free cash flow, as Jim mentioned, the company generated $11.3 million of free cash flow in the second quarter compared to $8.8 million during the same quarter last year. Free cash flow generated in the second quarter was used to make debt repayments totaling $5.9 million and repurchase $5.1 million of common stock during the quarter. We didn’t do any acquisitions during the second quarter of 2008. The Board of Directors recently authorized a $60 million increase in the stock repurchase plan and we had $10 million remaining under the previous authorization as of June 30, 2008. Touching briefly on the year-to-date results, gross profit for the first half increased by 11% over the first half of 07 with the Katrina settlement contributing 4% of the year-on-year growth. On a same location basis for the first half, year-to-date gross profit also grew by 2% over last year. G&A expenses for the first half of 2008 increased by 8% to $23.4 million from $21.7 million last year. G&A as a percentage of gross profit decreased from 53.2% for the first half of 07 to 51.9% for the first half of 08 and as we’ve said many times our long term goal is to bring this ratio down below 50% or less. Net income was $9.6 million for the first half of 2008 or $0.52 per share, an increase of 22% on net income and 30% on EPS over the first half of 07. In terms of free cash flow, the company generated $14.2 million during the first half of 08, $200,000 more than the same period of 07 less spending $900,000 more for cash taxes in the first six months of 08 versus the first six months of 07. As we said previously our cash tax rate in 2007 was approximately 5% and in 2008 we expect our cash tax rate to grow to about 16%. Despite the increase in cash taxes our trailing 12 months free cash flow through June 30, 2008 was $32.3 million as compared with $29.7 million for the 12 months ending June 30, 2007, an increase of almost 9%. On a per share basis, free cash flow grew 16% for the 12 months ending June 30, 2008 compared with the 12 months ending June 30, 2007. Free cash flow generated during the first half of 2008 along with draws on the revolving credit facility were used to fund one acquisition in the first quarter and repurchase almost $13 million of common stock. That concludes our formal comments. 
Operator: (Operator Instructions) Your first question comes from Analyst for Robert Labick – CJS Securities.
Analyst for Robert Labick – CJS Securities: Just wanted to see if you could give us a sense for what percentage of managed contracts are actually variable? 
G. Marc Baumann: Well, we have approximately 67% are fixed fee management contracts. That’s the percentage of our total portfolio and so for the most part those contracts will have a fixed fee that doesn’t vary from year to year. There are some exceptions to that of course and then the remainder of our management contracts are reverse management contracts and those contracts can be a little more variable. Our total management contracts are about 89% of the portfolio.
Analyst for Robert Labick – CJS Securities: Would it be those variable contracts that impacted gross margins during the quarter?
G. Marc Baumann: Definitely. And I think regardless of the economic circumstances, just bringing on a new reverse management contract can have an impact on management contract gross margin because there may be very large, maybe a very large payroll or other large expenses relating to that particular contract.
Analyst for Robert Labick – CJS Securities: Then you also alluded to how some of the macroeconomic environments may be impacting the bidding on projects coming up for renewal. Can you give a sense for, has there been increased focus by property owners to open up contracts for bidding versus automatic renewal? And it would seem like that would certainly be a benefit to you as you had pointed out. Can you elaborate on that a little?
James A. Wilhelm: Sure. What we see traditionally in this sort of economic cycle is property management firms on behalf of owners or asset managers on behalf of owners or the owners themselves begin to take a look at every item that comprises the income stream or expense operation at their facility. And that can range from airports to hospitals to office buildings to any of the venues that we serve. That generally serves us well in that we seem to be able to, not seem, we can demonstrate proven results that when we take over an operation we give the clients the benefit of our expenses which are negotiated on a national basis, so the strength of our shoulders combined with our internal revenue control abilities and our abilities on the technology conversion side of the business to win new business. So while some of our clients tend to get into more detailed discussions with us and they may take a facility out to bid that might have had an automatic rollover provision short of that, we generally are winning those back and that’s what’s being reflected in the higher retention rate and the higher gross profit retention rate that I cited earlier. That then is compounded by the fact that we’re winning new business and writing new business at a higher rate than we were same time last year and projected out for the rest of the year which enters into our guidance. So we like this climate. In terms of net new wins versus losses and then trying to discuss with existing clients the value they get through us so as to avoid downward pressure on pricing. And we haven’t seen a whole lot of real several downward pressure on pricing.
Operator: Your last question comes from Clinton Fendley – Davenport & Company LLC.
Clinton Fendley – Davenport & Company LLC: I wondered if you could comment just on the environment and the impact that that might be having on M&A and your opportunities that might be in the pipeline there?
James A. Wilhelm: Sure. Well, let me answer the first part first in terms of the overall environment. If you sort through all of the noise in our statement about year-over-year changes as a result of the hurricane and while both years had positive impacts on our estimates of retained reserve for the insurance program, one year we tend to vary that one year for another so we sort out things like that and some other expenses that we cited in our press release. The net effect of all of that, including the hurricane, was $0.03 a share. What I found encouraging in this environment is that the $0.04 that we grew over the $0.22 last year was primarily achieved through the growth in the organic business by virtue of the key metrics that we tend to talk about with you every quarter. Those being retention rate and gross profit retention rate and new business won, what we’ve been doing with G&A. Neither Marc and I mentioned in our preamble the fact that we continue to move the technology initiatives ahead in this environment. They are beginning to have an effect on G&A as a percentage of gross profit and as we’ve talked about before we’re looking to 2009 and 2010 to reap more benefit from that as the business continues to grow. So while there is no doubt that in those businesses that are related to the travel industry: airports and hotels and some office buildings; regarding employment rates and office vacancy and absorption rates that we are seeing the effect of the economy in paid exits, the metrics that we tend to look at that I talked about earlier are holding our business model together as predicted. If you begin then to look at our capital structure, Marc talked with some depth about free cash flow and the gap between free cash flow per share and earnings per share and the fact that the business continues to flow cash through itself in this sort of an environment. So there are reasons to be on a conservative basis but there are reasons to be optimistic about our business plan and the fact that we’ve been crafting this business plan for many years, preparing for economic situations like the one that we’re in today. On the M&A side of the business, the pipeline is there for us and we certainly have the capital to get some of those done and I think that you’ll see us continue to move along at about the pace we have. When we, Marc and I, talked about 2008 we highlighted the fact that we had done six or seven acquisitions in a relatively short period of time. We wanted to use 2008 to integrate those acquisitions into the business and you can see from our revenue numbers, the increase in revenue year-over-year, that the revenues generated from some of those acquisitions are beginning to take place. We’re integrating security into our business this year which is in its incubation stage and we’re optimistic that that business will be a business we’d like to be in, in years future as we bring that around slowly. So we’ve successfully integrated all that in. At the same we’ve mentioned that we’re putting in process and technology changes across the broader side of the business leading to ultimately a new accounting platform several years from now. So we’re pretty confident that we’ve been able to pull that off so we’re looking again at those acquisitions that might make some sense to us in the parking realm that we can begin to move forward in the third and fourth quarter of this year.
Clinton Fendley – Davenport & Company LLC: How long do you expect to continue spending on the IT initiatives?
G. Marc Baumann: Well, I think we’ve talked before, Clint, that it’s probably a five year project and we’re getting close to halfway in terms of the actual spend but we have quite a ways to go so this is not near the end and I think, as Jim and I have talked before, we’ll start to see some meaningful savings on the G&A front in 2009. And obviously as we go forward and then years after that we’ll continue to try to drive G&A costs out of the business through technology.
James A. Wilhelm: What we’ve said all along, Clint, is that we wanted to take those three initiatives that we’ve talked about in this forum in the past and those are a more efficient, automated methodology for doing accounts payables within our company, a more efficient and best-of-industry product for billing our monthly customers and allowing them to do that over the web and enabling technology to replace a lot of manual work in that area as well as the collection of time and attendance from 13,000 employees every day. And those were the first three initiatives that we have bitten off in this area and those that we’re making progress in. We expect that those initiatives are those that will enable us field cost savings in terms of manual processing of that sort of information. All three of those initiatives have to be completed before we can realize that so those were the first three we wanted to move along. But as Marc said, we still have components read to the overall platform in contract management, location management, ultimately our general ledger and client reporting systems that have to come aboard in later modules. 
Operator: This concludes our question-and-answer session of the conference. 